Operator: Good afternoon, and welcome to the Second Quarter 2013 Call for Investors in Republic Services. Republic Services is traded on the New York Stock Exchange under the symbol RSG. Your hosts for today's call are Don Slager, President and CEO; Glenn Culpepper, CFO; and Ed Lang, Republic's Senior Vice President and Treasurer. Today's call is being recorded. [Operator Instructions] It is now my pleasure to turn the call over to Mr. Lang. Good afternoon, Mr. Lang.
Edward A. Lang: Thank you, Holly. Welcome, good afternoon, and thank you for joining us. This is Ed Lang, and I would like to welcome everyone to Republic Services' Second Quarter 2013 Conference Call. Don Slager, our CEO; and Glenn Culpepper, our CFO, are joining me as we discuss our second quarter 2013 performance. Before we get started, I would like to take a moment to remind everyone that some of the information we discuss on today's call contains forward-looking statements, which involve risks and uncertainties, and may be materially different from actual results. Our SEC filings discuss factors that could cause actual results to differ materially from expectations. The material we discuss today is time sensitive. If in the future, you listen to a rebroadcast or recording of this conference call, you should be sensitive to the date of the original call, which is July 25, 2013. Please note that this call is the property of Republic Services, Inc. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Republic Services is strictly prohibited. I want to point out that our SEC filings, our earnings press release, which includes GAAP reconciliation tables, and a discussion of business activities, along with a recording of this call are all available at Republic's website at republicservices.com. And finally, I want to remind you that Republic's management team routinely participates in investor conferences. When presentations are scheduled, the dates and times are posted on our website, along with instructions for listening to the live webcast of the event. With that, I would like to turn the call over to Don.
Donald W. Slager: Thanks, Ed. Good afternoon, everyone, and thank you for joining us as we discuss Republic Services' Second Quarter 2013 Results. I am pleased with our performance, which continues to reflect an improvement in business conditions. Revenues increased 2.5% compared to the prior year, which includes volume growth of 0.9%. Both average yield and volume improved sequentially, and we remain well positioned to take advantage of an improving economy. Second quarter adjusted EPS was $0.43, which includes $0.03 of legal charges for various matters. Excluding legal charges, adjusted EPS would have been $0.46, which was in line with our expectations. Year-to-date adjusted free cash flow was $312 million. We remain on track to achieve our full year guidance. Q2 average yield was 1.3%. This represents the fourth straight quarter of improvement. Core price, defined as price increases less rollbacks, was 3.1% in the second quarter. Q2 volumes were positive 0.9%. This represents a sequential improvement of 140 basis points. We expect to continue to see positive volumes in the second half of 2013. Construction activity continues to improve. Temporary roll-off hauls were up 4.7% over the prior year and increased in most of our markets. As many of you know, the roll-off business tends to have a lower incremental margin. Operating density resides in the commercial and landfill lines of business due to the higher level of fixed costs, but volume in these lines of business tends to lag. We remain encouraged by recent activity in the roll-off business, since it has historically led to a broader volume growth. Q2 recycling facility tons increased approximately 4% over the prior year. We completed an upgrade to a single-stream recycling facility in Ohio and completed a new single-stream facility in the Dallas-Fort Worth market. Combined, these new facilities will add approximately 95,000 annual tons. The year-to-date investment in acquisitions was approximately $33 million. These transactions consist of tuck-in acquisitions in existing markets. We anticipate completing our goal of investing $100 million by the end of the year. Year-to-date, we returned approximately $305 million to our stockholders through share repurchase and dividends. We repurchased 4.1 million shares for $135 million and have $189 million remaining on our share repurchase authorization, which we expect to complete in 2013. In summary, the base business performed well, and we have now turned the corner on volumes. Our second quarter results put us right where we thought we would be, and we remain on track to achieve our full year adjusted EPS and free cash flow guidance. Glenn and Ed will now discuss our financial performance. Glenn?
Glenn A. Culpepper: Thanks, Don. Second quarter adjusted EPS of $0.43 excludes an $0.18 environmental charge for increased costs to remediate our closed Bridgeton Landfill in Missouri. The charge primarily relates to increased costs to pump and dispose of leachate, which will be spent over the next several years. We are on track to complete the remediation plan. Adjusted EPS also excludes a $0.10 charge for negotiation and withdrawal costs related to the Central States Pension Fund that were completed during the second quarter. Second quarter 2013 revenue was approximately $2.1 billion, an increase of $51 million from the prior year. This 2.5% increase in revenue includes acquisitions of 0.4% and reflects the following 3 components of internal growth: pricing, volume and recycled commodities. First, pricing. We had an average yield growth of 1.3% with positive yield in all lines of business. Average yield increased 10 basis points sequentially from 1.2% in the first quarter of 2013. This level of pricing was in line with our expectations for the second quarter, and we remain comfortable with our full year guidance of 1% to 1.5%. We conformed the terms used to describe pricing components to be consistent with other industry participants. What we previously called core price is now referred to as average yield. Average yield represents the year-over-year change in per unit prices, expressed as a percentage. Our calculation methodology has not changed. Additionally we changed the term net price-to-customer to core price. Core price represents price increases to customers and fees, excluding fuel recovery, net of price decreases to retain customers. Again, our calculation methodology has not changed. Core price in the second quarter was 3.1%. In addition, fuel recovery fees increased 0.2%. Most of the change relates to an increase in the rate charge to recover fuel costs, which went into effect in late Q4 2012. Second, Q2 volumes increased 0.9% year-over-year. The collection business was positive 1%, primarily due to increases in industrial volumes. Growth in the industrial line of business was driven by temporary hauls, which were up 4.7% over the prior year. Growth in collection volumes was partially offset by a decline in post collection volumes of 0.6%. The decline is mostly due to lower levels of special waste at our landfills. Post collection volume performance improved 420 basis points from Q1. Third, a decrease in commodity sales resulted in a 0.3% decrease in revenue. Commodity prices decreased approximately 11% to an average of $110 per ton in the second quarter from $123 per ton in the prior quarter. This represents the average price for all commodity types for all regions. Second quarter recycling facility commodity volume of 554,000 tons was up 4% from the prior year. Current average commodity prices are approximately $109 per ton. For reference purposes, a $10 per ton change in commodity values equals approximately $0.03 of full year EPS, which includes the impact on our recycling facility and collection businesses. Now I will discuss year-over-year margin. Second quarter 2013 adjusted EBITDA margin was 27.6% compared to 30.3% in the prior year, a decrease of 270 basis points. Most of the change relates to other SG&A expenses, which increased 140 basis points. We recorded $17 million of legal charges for various matters in the second quarter versus a $12 million reduction in expense in the prior year. The year-over-year variance in expense was approximately $29 million. The remaining change in margin relates to disposal, labor and maintenance expenses, which increased 130 basis points combined. As Don mentioned, volume growth was concentrated in the roll-off line of business, which has the highest level of variable costs. These costs are impacted by changes in volume, since they are direct expenses of providing service to the customer. Additionally, revenue mix impacted these costs as a percentage of revenue since collection volumes increased while post-collection volumes and commodity revenues both decreased. The year-over-year impact of all other cost line items, which are listed in our 8-K filing, net to 0. I will comment on some of the line items, which include, first, fuel. The 30-basis-point improvement primarily relates to a higher percentage of natural gas trucks in our fleet. Currently, about 10% of our fleet runs on natural gas. We will continue to replace diesel trucks with natural gas trucks where appropriate and as part of our normal truck replacement cycle. The average price per gallon of diesel decreased to $3.88 in the second quarter of 2013 from $3.95 in the prior year, a decrease of approximately 2%. Current average diesel price is approximately $3.90 per gallon. For reference purposes, a $0.20 change in diesel fuel per gallon is about $0.01 of full year EPS, which includes the impact of our fuel recovery fees and fuel hedges. Next, operating expenses. The 30-basis-point increase in expense primarily relates to favorable items in the prior year. Other operating expense as a percentage of revenue was 3.5% in the second quarter and was consistent with our expectations. Finally, SG&A expenses. SG&A was 10.8% of revenue, an increase of 120 basis points compared to the prior year. As I previously mentioned, this is due to a year-over-year change in the amount of legal expenses. Excluding incremental legal charges in the current quarter, SG&A expense was 10% of revenue, which was consistent with our expectations. DD&A as a percentage of revenue was 11.2% in the second quarter of 2013 versus 11.4% in the prior year. DD&A is higher than capital expenditures as a percentage of revenue due to the amortization of intangibles. Ed will now discuss interest expense, free cash flow and selected balance sheet data.
Edward A. Lang: Thanks, Glenn. Second quarter 2013 interest expense was $90 million, which included $12 million of noncash amortization. Year-to-date adjusted free cash flow was $312 million, in line with our expectations. Adjusted free cash flow included net capital expenditures of $469 million or 56% of our projected full year spend. Cash flow can vary quarter to quarter, based on the timing of capital expenditures and working capital. As Don mentioned, we remain comfortable with our original full year adjusted free cash flow guidance of $675 million to $700 million, even with higher-than-anticipated environmental expenditures. We now expect to receive cash tax refunds from prior years, which essentially offsets the higher spending for environmental remediation. We still expect to spend approximately $835 million for net capital expenditures in 2013. Now I will discuss the balance sheet. At June 30, our accounts receivable balance was $877 million, and our days outstanding was 38 days or 25 days net of deferred revenue. Reported debt was approximately $7 billion at June 30, and excess availability under our bank facility was approximately $1.5 billion. I will now turn the call back to Don.
Donald W. Slager: Thanks, Ed. I'm proud of the Republic team and how we are executing our strategy. We are making smart investments in accretive acquisitions. We are appropriately developing our recycling infrastructure. We're systematically converting to automated and natural gas-fueled vehicles. We are maintaining our focus on multi-year initiatives designed to reduce costs and improve productivity. And we are growing units of service and reporting positive volume growth. Our base business performance, highlighted by improving yield and volume growth, gives us confidence in our ability to generate strong free cash flow. This enabled us to increase our dividend approximately 11% and continues our track record of efficiently and predictably returning cash to stockholders. We are focused on continually improving our business to generate consistent earnings and cash flow growth. And finally, we remain committed to an efficient capital structure, maintaining our investment grade rating and increasing cash returns to our stockholders. At this time, operator, I would like to open the call for questions.
Operator: [Operator Instructions] And the first question comes from Hamzah Mazari with Credit Suisse.
Hamzah Mazari: The first question is just on guidance. Historically, you guys have raised guidance in July. It seems like the fundamentals are turning and getting better versus when you originally guided. Is it fair to say that you guys are keeping guidance the same because of the higher litigation costs in SG&A that you guys didn't flag as sort of non-recurring?
Donald W. Slager: Well, Hamzah, this is Don. I would say, historically, we've updated guidance at this point in the year. And we are seeing some good signs in the business. We talked about the positive trends in volume and the sequential improvement in pricing. We also have -- the parts of the business that we're seeing growth in are in areas of construction. We're not necessarily seeing the kind of growth yet in service increases or growth in our commercial lines of business that give us more margin expansion. So at this time, we think our guidance is right on. And we'll take you through the year and we'll talk more about what we see after Q3.
Hamzah Mazari: That's fair enough. And just a follow-up on volume. Could you maybe talk about seasonality and whether you saw above-normal seasonality? I realize there maybe some noise because of the weather. But maybe if you could address sort of underlying seasonality that you're seeing in your business.
Donald W. Slager: We saw what we would call normal seasonality this year. The only thing that we're -- we did see a little wet weather, which led to some disposal weights being a little bit higher. And, of course, we had a little bit of cleanup volume coming through from the tornado cleanup in Oklahoma City. But other than that, we would tell you that seasonality was normal for us this year.
Operator: The next question comes from Al Kaschalk with Wedbush Securities.
Albert Leo Kaschalk: Don, I still don't understand. Maybe you can walk us through it or parcel it out, how EBITDA margin can be down 270 basis points year-over-year? And I see some of the cost of operation items that look a little, and pardon the expression, a little inflated on a comp basis, when you look at it year-over-year, meaning percentage of revenue, specifically like maintenance and labor and related benefits, but can you just help us through that?
Donald W. Slager: Yes, so let me give you my view of it. So you heard Glenn describe the legal charge, right? That was the biggest single piece of that change and that's -- let's call that a non-recurring item. We've had little more labor and maintenance than maybe we would have expected. And the big maintenance initiative is actually working very well. It's taken us a little bit longer to move through the system and get the traction we're hoping for, but we're still very positive on that. So it's something that we'll -- we think we'll overcome certainly in the next year. Part of the margin, frankly, still the fact that we're still not -- while price is sequentially improving, we're still not getting price in exceedance of normal inflation. So we like the fact that price is on the move upward, but we're going to have to do a little more pricing. We're going to have to get a little more help from the economy to get that going in the right direction. But we're on the right track and again, directionally, we're pretty pleased with it.
Albert Leo Kaschalk: Okay. So if I may try, the 270, I can probably attribute 140 of that to the legal charge. That's just $30 million for revenue.
Donald W. Slager: That's right. So what you have left, kind of split that between labor and maintenance, and then one other thing is disposal. So one of the things that's happening is that we're seeing an increase in our container weights and -- but we haven't seen that increase in container weights convert yet to service increases. So we probably described this to you before, but as in our commercial, small container business, as flat-rate customers begin to throw out more trash, they begin to fill the container up more and we end up hauling that extra trash for the same fixed revenue per month, and we don't get to charge for that until we get that extra service increase out of it. So our service increases right now are pretty flat. So one of the steps we would hope to see in this improving economy is just that, we'd like to see some service increases. The other thing is the growth that we're getting in the business is not coming in the parts of our business that has the benefit from density or the high-fixed cost, as I said in my comments. It's coming in the area of the roll-off business, which doesn't -- which has a high variable cost. And it's coming in some new contracts, new residential contracts but not contracts that lay over the top of our existing business. So as we see growth in our footprint, where we build more density, then we'll see that margin improve from that as well.
Albert Leo Kaschalk: Just to follow up, and I appreciate that color. It was helpful, Don. On the pricing side, absent the index-based business, can you shed some insight on market intelligence on pricing within competitive markets?
Donald W. Slager: Well, let me just say this. We still think the market is a rational market. We're out there every month with our price initiative, in and around what we used to call RPM, that ratable process we use, the 12 equal buckets as we've described before. Our pricing efforts continue, as far as things like customer defection or churn rates, things that we measure, those are very consistent with past periods. So we're not seeing any negative change there, but we're not maybe seeing enough positive change to reflect in even higher prices. But as I would -- but as I told you all along, we -- our belief is that as the economy improves, as volumes improve, that pricing environment is going to improve right along with it.
Operator: Next is from Adam Thalhimer with BB&T Capital Markets.
Adam R. Thalhimer: Can you expound a little bit on the trends you're seeing at the landfill?
Donald W. Slager: Trends with volume?
Adam R. Thalhimer: With regard to volumes, yes.
Donald W. Slager: Well, first, we've had the first quarter of positive MSW volume growth at our landfills since I think 2008. Okay? So that's a pretty big deal. It's the first quarter. It's been an improving trend over the last 3 quarters, so -- but the first quarter we've gone positive. So C&D was a good month for us. A portion of that C&D volume came from, as I said, the Oklahoma tornado cleanups, but even that, we've seen a sequential improvement every quarter for the past 3 quarters in our C&D volumes. And I guess we're seeing that in our roll-off business as well. Pricing is reasonable at the landfill. We have not seen any real movement in landfill prices yet. We're hopeful that as volumes continue to increase, there's a little more opportunity to drive price through the disposal assets. One of the things that I'm sure you know, over these last several years, we've been very diligent with pricing correctly for these landfills. We've, over that time frame, frankly, lost a lot of MSW volume, what we call open market volume, to competitive landfills. But our hope would be that -- so we have very little of that business left today in the open market side of MSW in the landfill business. But we would hope that as, again, volumes return, improve, that there could be some pricing upside there for us in the latter half of this year, maybe certainly by next year.
Adam R. Thalhimer: Okay, great. And then a bigger picture here, longer term, and where do you think that -- you've said that you now kind of turned the corner on volumes. Where do you think EBITDA margins can go as the volume cycle kind of plays out?
Donald W. Slager: All right. So it gets -- it's really kind of the same old story. Think about our business inflation, our cost inflation being somewhere, call it 2% to 2.5%. We may get 50 basis points a year out of productivity and initiatives around efficiency. And then we're left with 2% net inflation. We've got to get pricing exceeding inflation on a regular basis. We're going to need some help from CPI. We need to see CPI regulate in some sort of normal fashion and then that the open market pricing will follow. And in a normal environment when we see household formation occurring, business formation occurring on top of that, building more units into our density, we think we'll get back over 30%, but it's going to require that pricing exceeding inflation to do that and it's going to require an improving economy to help us give a push. So we're doing everything we can to appropriately price our business and grow the business intelligently, but we're going to need a little more help from the economy to get back there.
Operator: Joe Box with KeyBanc.
Joe Box: Don, I appreciate the comments earlier on price not outpacing inflation and some of the comments on fixed revenue customers. But it seems like things haven't really changed that much sequentially to where you'd actually see that much costs flow through operations. I'm just curious, can you give us a bit more color on some of the bigger cost of operations buckets, like labor and maintenance? Do you see them getting better leverage in the back half? Or is it possible that they continue to grow at a pace that exceeds sales growth?
Donald W. Slager: No, I don't think that. I mean again, as I said, also one of the comments I made is where we're getting some of the volume growth, it's not really happening -- again, when I talk about on top our density, we're not seeing the growth in our commercial, small container business within our route structure. We saw some of the growth come in through some large commercial contracts, basically franchise contracts that required new trucks and new routes, not new customers on top of our current route base. So that's going to come at a normal or -- at a normal margin not an expanded margin because of the density. Roll-off growth is really where we're seeing the bulk of our revenue, our volume growth, and again, that's a lower-margin business. So we've got to see that growth happen on a more broad-based way across all lines of business. And then we'll get that margin going back in the right direction. Maintenance has been a little bit of a headwind for us all year. Part of that is due to our One Fleet initiative. We'll anniversary that sometime next year and then it'll start to go positive for us. We've had a few little odds and ends kind of sneak up on us in costs, things like the cost related to the Green Fence initiative. So we're going to spend a couple million dollars a year more in cost -- or a couple of million dollars this quarter in cost to deal with that. So we're going to find a way to pass that back along in some kind of a price initiative with our customers, our recycling customers. So we're dealing with those things. I think, again, the base business is strong, evidenced by the fact that we're raising our dividend. We got a lot of confidence in the cash flow. And as we get the economy working back for us, even a little stronger than it has, we'll get the margin back to 30%. And if you net some of this stuff out, just kind of one-timer stuff, we're still 29% EBITDA margin, we think, by the end of the year.
Operator: The next comes from Corey Greendale with First Analysis.
Corey Greendale: I think -- not to beat the dead horse, but I think it's still breathing a little bit. So I understand all the comments about the mix affecting the margin. EBITDA dollars, though, are down year-over-year after adjusting for the legal charge. So I'm trying to figure out, since it sounds like MSW is growing and C&D at the landfills is growing and you had up -- I'm trying to figure out what's actually down. Is it special waste? So it was -- was there some relatively high-margin special waste last year that isn't there this year, and that's what's driving EBITDA dollars down?
Donald W. Slager: Yes, yes. Special waste is still not really a bright spot for us. We're down year-over-year in special waste volume. While we're up in C&D and MSW, the landfill special waste is down. So yes, a lot of this, Corey, is just mix. And I know that's an easy word to use to describe it, but there's a lot -- been a lot of small moving pieces in a big business and a lot of it just is mix. And EBITDA dollars are only down only slightly. So it's, as I'm just telling you, we have confidence in the guidance, confidence in the 29% adjusted EBITDA margin that we talked about and getting some of these one-timers behind us.
Corey Greendale: And I generally don't like asking company about another but the since there's this sort of this pronounced difference, on one of your competitors' calls earlier this week, there was a lot of talk about strength at the landfill and about how there's a lag between strength at the landfill and when they start to see that at the collection side. It sounds like it's going kind of in reverse for you. Can you talk about, conceptually, just given past cycles, what you expect, which of those 2 lags the other?
Donald W. Slager: Yes, I really can't comment on what's going on in the other company's business. I would tell you a couple of things. Their business mix, their geography is different than ours. Their percentage of third-party volume versus internal volume is going to be different than ours, so that's -- I really don't know enough about their business to comment. Our business doesn't move very quickly. It moves fairly slowly. So we wouldn't expect to see very large increases in volumes or prices over a one quarter or year-over-year basis. So for us, we still believe that, again, the business overall grows with household formation that turns into business formation. We think it starts in construction volumes coming back. We think it then becomes an issue with business formation and new units of service being added by new small businesses going, coming into our route base and adding that small container business. We think it's consumer spending increases and more trash is created in our small container business, we'll see service increases. And all that happening sort of within our dense footprint, which gives us some margin leverage. Again, we think as volume returns, pricing gets a little bit easier from there. So that's how we think the progression occurs. That's, frankly, how it's occurred for us historically. If their business model is that much different, then it may be different for them, but I really can't comment on that. And then, of course, as I've said in my earlier comments, we've been very persistent with landfill pricing in the open market over the last several years. We've, because of that, lost a fair amount of open market volume at our landfills, those are -- when I say open market, call it competitive volume from other waste haulers, who've chosen to take their waste to another landfill, that we have a very small portion of that now business made up of our landfill volume in total. And so we're not going to get the benefit of any volume growth that might come through competitive volume that way and maybe another competitor might. So somebody's got that volume, it's not -- it's no longer in our landfill. So all those mixes are different, Corey. So we don't spend a lot of time worrying about how they're going to grow the business as much as we worry about how we're going to grow ours.
Operator: Michael Hoffman with Wunderlich.
Michael E. Hoffman: So just so -- I get it, all right. So I understand that the mix change and it's higher variable cost and that drives up labor disposal and your subcontractor. Help me understand what you're doing to get your hands around the 10% increase in maintenance, though. I'm still struggling with that a little. But I get the One Maintenance program, the One Fleet program, but 10% seems a lot.
Donald W. Slager: Well, there's a number of things there. One, the fleet is -- the fleet is changing. The fleet is changing through automation. The fleet is changing with CNG. Even clean diesel engines compared to the old trucks, before that, the clean diesel engines came on, all those trucks are really, frankly, a lot more costly to maintain. So we are seeing some maintenance increases, even where One Fleet initiative is not underway. The One Fleet initiative is driving up cost in the business, but we think it's going to anniversary and start to come down as we get through the second -- start to get into the second half of the fleet next year. So we are seeing benefits from One Fleet. The visions [ph] that've gone through One Fleet have experienced a 19% reduction in downtime, the ones that have gone through it at the beginning -- at the beginning waves. The fleet -- the local fleets that have gone through it recently haven't started to see any benefit yet. They're still spending money. The fleets that have gone through it sort of in the intermediate, the second or third wave, they're starting to see some benefit today. So this is just a matter of working through the fleet in its entirety, getting that culture built into our business, getting the durability in the fleet processes and then getting that benefit in reduction of downtime, reduction in unscheduled maintenance, better service standards, less -- fewer missed pickups, better driver morale, blah blah blah, and hopefully, even more opportunity to please the customer and have the customer even willing to pay us a little bit more for the service over time. So that's our hope and that's, frankly, our strong belief. And even though this thing has cost us a little bit more, we are more determined and more convinced it's the right thing to do than ever before. So we're going to see the benefits accrue in One Fleet and then maintenance, starting next year. And we're determined to make the fleet at Republic Services a world-class fleet in the process.
Michael E. Hoffman: Okay. And then you made a comment about container weights, which I think is important, that on the commercial business, you're clearly seeing an uptick. Can you characterize that and as well as that positive MSW? What was the nature of the percent change because -- and then -- and in light of that, what's your feeling about the service integral upgrades, either the extra day or the bigger container? Where -- how far out is that, quarter 2?
Donald W. Slager: Yes, well, maybe it's a quarter 2. 2% is the increase in container weights. So we are very watchful now for that increase in service frequency. And we're talking to our drivers and front-line people to be on the lookout for that. And we know which customers, at some point, in the recent history went from 4 days a week to 3 days a week. And we're hopeful that, at some point we'll get them back to 4 days a week. That's when we can charge for the additional service. In the meantime, we charge for garbage on the ground or garbage over the top and those kinds of things and -- so a 2% container weight increase is a good thing. It's the first time we've actually seen this kind of a move in a long time. Up until now and every quarter, we get a question of something like this and we keep saying, "Well, it's flat. It's bumping across the bottom. No change, no change." Well, we've got a change here that we're watching pretty closely now. We're excited about that turning into service increases and ultimately then again more revenue within our density. And that's where, again, we get the benefit. In the meantime, it costs you money. But you're not able to charge any more for those additional pounds in the container again until you have -- you get to add that service day. So it's something we'll talk with you more about next quarter as it develops. And hopefully, it's something that we see developing quarter-by-quarter after this, as this economy slowly crawls back.
Operator: The next question comes from Alex Ovshey with Goldman Sachs.
Alex Ovshey Ovshey: On the volume side, pretty good performance. It's almost up 1%. Even though I believe you had a couple of difficult comparisons with just some lost business that you still haven't lapped, have you...
Donald W. Slager: I think we've lagged it all -- or lapped it all, just about.
Edward A. Lang: Right. The large natural contract we lost anniversary-ed on May 1. And then the last of the disposal contracts anniversary-ed on June 30.
Donald W. Slager: All right, so I stand corrected.
Alex Ovshey Ovshey: Okay. Yes, I was just wondering if you were to adjust for that, what sort of the true underlying run rate for volume because clearly it should be a little bit higher than 0.9%?
Edward A. Lang: Yes, Alex, it probably would've been 1% plus, as far as volumes. Maybe somewhere between 1% and 1.2%.
Alex Ovshey Ovshey: Okay. And then the second question, are you guys seeing the weather impacted volumes for you? I mean, in certain parts of the country, we certainly had some wet/unseasonably colder weather for the spring. Do you think that had any impact on the business?
Donald W. Slager: Yes. We haven't talked about weather, other than we obviously had some rain that led to some increased disposal cost, also some disposal revenue at the same time. But maybe a little bit, but probably not enough to talk about on the call.
Alex Ovshey Ovshey: I got you. So it seems like a wash. And then just last question, any thoughts on how OCC prices trend through the balance of the year?
Edward A. Lang: Well, we if we look at OCC pricing right now, it's about -- well, our total commodities in all regions are $109 a ton. Seasonally, we probably just passed or we're in the process of passing kind of peak OCC pricing. This is when packaging or box manufacturers need to get product for the year-end holiday season. So it's -- what we do as, as far as planning for commodities, we assume it's going to be flat for the full year. When we gave our guidance back in February, we assumed commodities would be $112 a ton, all commodities, all regions. And we've kind of bumped around that number for most of the year. So I guess our expectation is built into the guidance or assuming flat commodities for the rest of the year.
Operator: Bill Fisher with Raymond James.
William H. Fisher: Just quickly on the environmental accruals you've had, I guess in the last 3 quarters on the landfill side. And I think you mentioned you're spending some this year on it. Is a lot of that spending this year or next year, or how would you kind of think about that?
Glenn A. Culpepper: A good piece of it, Bill, is this year and next year as we put in a water treatment plant on-site. But overall, these are costs that will be incurred over the next 35 years.
William H. Fisher: Okay. So a lot of it is spread out. And then, Don, you mentioned special waste has been soft. Do you see any better bidding activity in the second half? Or how would you characterize that?
Donald W. Slager: Well, we're not -- we're only slightly into the second half so we're always hopeful, but it's been fairly competitive out there for special waste. So we'd like to think that as -- again, as economy improves, behavior improves with it, customer sentiment improves along with that and with people starting to get maybe a little more confidence in the economy and pricing power will persist. So we'll keep doing what we do and we'll watch closely to see what our competitors do in local markets and we'll see as the second half unfolds.
Operator: Next comes from Jeff Osborne with Stifel.
Jeffrey D. Osborne: I just wanted to understand in further detail the roll-off side and if you can kind of take a guesstimate on what the impact was to the EBITDA margins with the mix shift. I understand all the rationale but I think you've added correctly that that's kind of a low 20s EBITDA business and as that flow through, that was the impact there, relative to some of the other weaknesses on the higher profitability pieces?
Donald W. Slager: Yes, this is Don. You're probably right, it's sort of low 20 margin kind of a C&D business. Remember, again, this is sort of point-to-point service. We don't get that benefit of productivity gains and density gains in that business. And then looking -- and the rest of it is just a lot of mix. So again, we're very happy to have that volume. And we're hoping that volume turns into, again, a broader recovery in the other lines of business that will give us that margin expansion. As new business comes in on top of our normal business, call it, the small container part of our world, that's going to come in at a higher margin, and we start to see more landfill volume. We could see a blended sort of 40% margin on that blended business coming back.
Jeffrey D. Osborne: Understand. And just the last point on the roll-off side, any comments on geographically where you're seeing the strength or what the cadence was through the quarter, factoring out the Oklahoma City issue?
Donald W. Slager: Yes, we really saw it everywhere. We saw C&D temp [ph] calls pick up across all 3 of our regions pretty consistently. So again, that's -- we would view that as good news as being a broader-based recovery in the quarter.
Operator: Next question comes from Barbara Noverini with Morningstar.
Barbara Noverini: So Q2 recycling volumes are up 4%. How much of this growth would you say is organic? So customers recycling more per stop than last year, that kind of thing, versus the product of capacity you might have added in the quarter and maybe even volumes you acquired in the quarter?
Donald W. Slager: Yes, most of that is driven from the new recycling facilities we brought online. So I would say it's -- and then we've seen this consistently, as we put in new facilities, we've driven more volume to recycling as a result of that.
Operator: Thank you. That is all the time we have for questions today. I will now turn the call back to Mr. Slager for his closing remarks.
Donald W. Slager: Thank you, Holly. I would like to thank all Republic employees for their hard work, commitment and dedication to operational excellence in creating the Republic way. Thank you for spending time with us today, everyone, and have a good evening.
Operator: Ladies and gentlemen, this concludes the Republic Services conference call for today. Thank you for your participation. You may now disconnect.